Operator: Ladies and gentlemen, welcome to the AccorHotels conference. I now hand over to Jean-Jacques Morin, CFO, AccorHotels. Sir, go ahead.
Jean-Jacques Morin: Yes. Good afternoon, ladies and gentlemen. Thanks for being with Sébastien Valentin and myself for this Q3, 2017 revenue call. Let's start with the presentation on page 3. So in a nutshell, Q2 was another solid quarter, confirming H1 inflection. Revenue was up a solid 6.4% like for like on the back of a 4.5 systemwide RevPAR growth. Our key regions of France, Europe and Asia Pacific were particularly solid. Together, they account for more than 75% of the total fee income. In terms of development, we cross the 600,000 rooms mark in Q3 and we do confirm our target to open more than 40,000 rooms by year end. Today, based on the solid business momentum we see in most key markets and our sound development, we expect to be in the high range of the guidance we provided last July. In terms of merger and acquisition, we announced four deals since we last spoke in July. On the hotels side, we signed an agreement to acquire Mantra, an enhanced leadership in Australia. We will further elaborate on this topic. On new businesses, we signed an agreement to acquire Gekko to increase our footprint in business travel, our largest customer segment. And we announced the partnership with SNCF to develop the Orient-Express brand. We also joined Bouygues Immobilier to go next door in the core working segment. Concerning the Booster project, we are in discussion with a potential investor to sell part of the share capital of Accor Invest. We confirm that we aim at signing an agreement before year end 2017. At this stage, the group has no certainty to reach an agreement. As we did in the H1 call and as you understand, we will not detail this topic any further during the call today. So moving on to slide 4, you can see the breakdown of our portfolio and pipeline per region. We now have 600,000 rooms in our network and 178,000 rooms in our pipeline, which are both all-time high counts for the group. We opened 73 hotels in the quarter, representing 11,000 rooms and notably 600 room Swissôtel in Dubai, a 300 room Fairmont in Oman and a 300 room Swissôtel in Kuala Lumpur in Malaysia. 27,000 rooms were open organically since the beginning of the year. The French portfolio actually decreased in Q3 following the sale of the 62 hotelF1 and the termination of the management agreement last June. Asia Pacific remains, as you can see our first region for expansion and we actually grew the pipeline by 10,000 rooms in Q3. So let's move to slide 5 with group revenue, which was up 6.4% like-for-like and 7.2% on a reported basis at a number of EUR504 million. So as for HotelServices, gross revenue grew 7% at constant rate to 4.7 billion, mainly driven by RevPAR as well as FRHI contribution for 11 more days in 2017. RevPAR was up 4.5% in Q3 after 5% in Q1 and 2.8% in Q2. This RevPAR was driven at 90% by occupancy and 10% by price, leading to revenue up 3.5% like for like for HotelServices. As for new businesses, the revenue got multiplied by 2.5 as we progressively integrate John Paul, TravelKeys, Squarebreak, Availpro and VeryChic. When you look at the number and like for like, this is a 5.6% growth and it only includes Fastbooking and onefinestay. On a comparable basis for all the businesses we owned today, Q3 revenue grew by 11%. Concerning private rental, we merged our three brands, onefinestay, TravelKeys, Squarebreak into the onefinestay brand, a unique website now gathers our 11,000 luxury private homes. As for Hotel Assets, we got a strong like for like performance with Eastern Europe being very solid, Turkey benefiting from favorable comps, which clearly offset tougher environment in Brazil. The decrease in reported revenue is due to the disposal of the Pullman Marseille as well as renovation in the Pullman Montparnasse. On a reported basis, the perimeter effect was a favorable 4% with the integration of FRHI and HotelServices, John Paul, TravelKeys, Squarebreak, Availpro and VeryChic, 00 in the new business line. As far as currency effect is concerned, it was a negative 3%, driven by the depreciation of the Egyptian pound, the Turkish Lira and the US dollar. Last, after the closing of the Booster operation, we will stop elimination of fees between AccorHotels and Accor Invest. As of today, this would translate into a total revenue of EUR649 million for this quarter, hence the line of future financial that we included in the table above as we've done for the last publication. So moving on to slide 6, we have the detail of RevPAR for key regions. France and Switzerland delivered some performance with 5% RevPAR growth like for like. It was mainly driven by volume with occupancy up 4.2 points to reach a level of 75%. International tariff continued to flow and notably from Brazil, plus 44%; China, plus 26% and the US, plus 7% over Q3 of last year. The French government is expecting 89 million international level for 2017, which would mean 8% more than last year. If we look at the detail of Paris, the RevPAR momentum remained strong at 7%, driven by occupancy. Leisure travel did go 21% in Q3, with steady corporate travel 3% of growth. Paris was strong at 4% RevPAR. It benefited from the regional recovery after this attack last year and last on France and Switzerland, on the outlook, we're definitely confident in the recovery. If we move now to the second part of the table, i.e., Europe, Europe continues to have a strong RevPAR, up plus 7.8% this quarter and this is driven by Iberica, Benelux and Eastern Europe. RevPAR was driven at 60% by price and we reached record occupancy in most of our European markets. If we go in a bit more detail on Europe, Iberica did experience double digit growth at 12.3% RevPAR. Recovery has room to carry on, but the situation in Catalonia, which represent us of Spanish business, has started deteriorating since October. Eastern Europe remained very positive at 8% RevPAR and this is notably supported by a great performance in Hungary. As far as Germany is concerned, Germany was a positive 2.9%, benefiting notably from the G20 and a strong October fest despite not so favorable fast calendar over the month of September notably. When we talk about the UK, the UK was showing a 4% growth and it benefited from ongoing staycation, notably in Provence, while we're starting some softening in London and we did experience a negative RevPAR in September. Compared to last year, we didn't see any additional effect from the weak pound on international travel. So, if you move to slide 7, so we cover there Asia Pacific, which shows up RevPAR of 5.9%, mainly driven by occupancy. Our supply is still steadily growing in many markets. Looking into a bit detail, in Australia, the RevPAR was up 4.1%, driven by better comps as the last year, July 2016 election had resulted in a parliament hang and obviously all the uncertainty linked to that. This year, the Sydney region is notably very strong and you still have the mining area of Brisbane and Perth which are lingering. If you look at China, China did demonstrate a very strong 10% RevPAR growth in the quarter, notably driven by Beijing and National Communistic Congress, that of the National Communistic Congress in October as well as some midyear exhibition in Shanghai, textile, leather, furniture shows. So overall, for the group, systemwide, occupancy was the main contributor to the strong RevPAR. We had an increase of 2.9% like for like to reach a level of 73%. If you were to look at it by segment, you'll find the same positive, but you have 5.1% growth in large, you have a 5% growth in a mid-scale and you have a 4.1% in economy. So, let's move now into more detail by product line. Looking at HotelServices and I am on slide 8, we reported HS revenue at EUR442 million, up 3.5% like for like or 2.7% in reported numbers. So France and Switzerland was up 2.3% like for like. This compares to a 5% RevPAR and so the explanation to the variance there stems from perimeter effect with the closing of 62 hotelF1 and also the sale of the Pullman Marseille and some renovation, very large renovation, just like the one in Pullman Montparnasse, which is our largest hotel in France with 1000 rooms. So we already discussed the Asia Pacific and Europe, so I'll now deep dive a bit more on the other geography, i.e., Middle East and Africa. So Middle East and Africa reported a 1.2% revenue increase. This compared to minus 3.4% decrease in RevPAR, with mixed performance and in fact that was affected by development. If you look at the detail of it, Egypt benefited strongly from currency devaluation, but on the other hand, the Gulf region still is plagued by the oil price and geopolitical tension we saw over summer, which is driving a weak performance in Dubai as well as in Macau, notably during Hajj period. So as far as the NCAC region is concerned, the 14.6% like for like revenue growth number includes FRHI, which benefited from a very strong 14% RevPAR growth in Canada. So Canada is running on all cylinders. Moving to South America, we have minus 15.3% revenue growth like for like in South America and this is largely driven as usually by Brazil. So Rio de Janeiro has generated 57% RevPAR last year in August 2016. So that was a tough comp. This quarter is still suffering from the challenging social economic situation in Brazil, which we continue to linger. I think we start to see some positive sign on the preseason economy, which is recovering with positive GDP growth in Q2 as well as an inflation, which is the lowest level for the last 20 years. So these are good signs, and hopefully that will materialize going forward. As a result, it is the first time since Q2 2014 that we have occupancy in positive territory. So on the right part of the table, you see the Q3 result by segment and you see that following the integration of FRHI, Luxe now contributes close to 40% of the HotelServices business. Last point that as we did explain in H1 results, the legacy FRHI charges, some specific services directly from their head office in two hotels, which used to be accounted last year in the North America region, NCAC. For 2017, they're included in worldwide structure, representing 11 million for Q3, which is why you have the variance on the worldwide structure table above. These revenues are typically included in regional cluster for our historical brands for the historical Accor brands and so what we will do is that we will adjust these going forward in our 2018 revenue and obviously, we'll keep you posted on the effect, but we wanted to be perfectly on that front. So just to - moving now to the summary of all of that, which is the financial year 2017 outlook and I am on slide 9. We have a sound RevPAR momentum in our core markets, with a high single digit RevPAR growth across France, Europe and Asia Pacific, which again account for three quarters of our business. And room expansion was good in Q3, pointing to a record organic development in financial year 2017 and that's the 214,000 rooms opening that I mentioned earlier. We globally expect this solid operating times to carry on in Q4 with some point of attention, Middle East and Africa, London, Catalonia, with the political phenomenon happening since now the last 10 days and the foreign exchange with the Euro currency, which is getting stronger. All of that needs to be monitored. So taking these elements into account, we expect the full year EBIT to be in the high range of the numbers that we have disclosed to the market last July, i.e., between EUR460 million and EUR480 million. So the last part of the discussion today was to cover a bit about Mantra. So I'm on slide 10 and we announced it last week. It's a pretty significant and strategic deal for us. So just wanted to cover that a bit. This is a great opportunity for us to combine our leading position in the Pacific region and notably in Australia where we are number one with our largest challenger and this will result in a combined network of 300 hotels, more than 300 hotels and close to 50,000 rooms. So Mantra has a strong presence in resort, whereas [indiscernible] good complementarity. Australia is a key market for the future, because the prospects are great, both on a macro and industry perspective. I mean supply is stable there and demand is being picking up steadily for many years. That it is a country with GDP has been growing for more than 20 years and typically, Australia has become one of the favorite destination for Chinese travelers. We've been growing at an 18% compound growth rate in the country since 2010. And in fact, the number is even expected to grow to more than this 18% compound growth rate in the coming years. And the Chinese tourists are particularly traveling to the Gulf Coast region in to which Accor was much weaker than Mantra is. So from that angle, it's a good complementarity. Just going into a bit more of what the Mantra business is, I am on slide 11. So the Mantra business is shaped around the management and lease agreement. So on the management side, management letting rights or so called MLR are dominant and the MLR model, Mantra's long term contract to management letting business for property and also owns freehold of common area, just like the reception and the food and beverage areas and this is a system that we know well and master as we acquired [indiscernible] in 2012 and they were in that business. And as for the lease portfolio, we know well how to deal with this type of portfolio as you know, we went through an extensive asset management of over last years and so just to preempt the question, you may have, this portfolio will not be added to the Accor Invest perimeter. Moving on to slide 12, some - just summary of transaction parameters and next step. As you know, the transaction is based on the offering of AUD3.96 per share, which we believe is the share price quoted for Mantra and the Accor shareholder. Financial parameters are also compelling as we delivered completion as of year one and that is before synergy. Synergy being quantified to AUD18 million to be generated over 2 to 3 years here all right. So all this transaction is obviously subject to regulatory agreement and of course shareholder approval and that's why it's going to take a little bit of time before we close this transaction that we expect by the end of Q1, 2018. I think at this juncture, we will like to thank you for your attention and the floor is yours for questions.
Operator: [Operator Instructions] We have a first question from Julien Richer from Kepler Cheuvreux. Sir, please go ahead.
Julien Richer: Good evening, everyone. Three questions from me please. The first one, is it possible to have your view on the RevPAR situation for 2018, what you see at this stage in terms of growth going forward. The second point, in terms of Middle East and Africa, you mentioned that given the recovery observed in Turkey, in Egypt, do you think it might have an impact on demand to Europe in '18. And the last point on Accor local project, is it possible to have the average spending by customer at this stage for Accor local, just to give us an idea on what it represents please.
Jean-Jacques Morin: Okay. So on the RevPAR of 2018, we're just in the midst of working that out with our teams. So it's a little bit mature and we don't typically anyway give those kind of guidances as you know. But what I would say is that, the dynamics are good, because you've seen the last three quarters and notably on key area, like France, Europe and Asia Pacific, I mean, the underlying business is sound. Next year, we'll benefit a little bit more from a better calendar on Germany. In many of those countries, we are not back at the peak of 2008, the kind of 2008 period and so two places where we are above those peaks when you rework for inflation and that is the UK and Germany, the other places are still below what we did in those days. So there is still some improvement. So that's what I'd say. So I feel positive about next year definitely. Looking at, your question on Turkey, can it have an impact? Yeah. Sure. I mean, it is not very significant numbers. What we talk about is relatively limited number of business volume, but yes, it can. I mean, the real key numbers in the Middle East and Africa as you know is the gov and that's where the last part of what is happening. On the average spending, this is too early. I think what we said there is that we wanted to do some tests, which we're doing some tests. We are planning to expand it and get a test of 100 hotels in five cities in the coming months. So once we are, I would say, good basis for making the assessment and a little bit more history, we'll get back to you and let you know.
Operator: Next question from Jamie Rollo from Morgan Stanley.
Jamie Rollo: Three questions please. Just if we can come back to the like for like sales and why that's 1% lower than RevPAR, you explained about the French disposal, but also there is a difference in Asia Pacific and South America. So, could you help us understand when that annualizes, because you've got a combination of renovations and disposals and what is the real like for like sales number if you were able to adjust again for those measures. The second thing is on the operating profit guidance increase, since you last gave the guidance, what's the impact of currency going against you please. And finally on Mantra, how would that be funded if you are unable to not sell a majority stake in Accor Invest and also do you consider management letting rights as asset light, given you're doing some real estate. Thank you.
Jean-Jacques Morin: Yeah. On your question about revenue versus RevPAR, I did explain France. And you're right, there are two other points which are South America and Asia Pac. So in South America one of the thing which is playing is a little bit like in France the closing, we've got the Sofitel Copacabana which is now going for renovation as you certainly do know. And last year because of the very, very good performance of Rio, I mentioned the 50% plus RevPAR in August, incentives kicked in. And so that has been also kind of explaining why when you compare today to what was an extraordinary period which is the Q3 of last year you have that variance. In terms of Asia Pacifica, one of the things that did happen is that the timeshare business was bit weak of Q3. And so as you know this is not in the right plan this is revenue and this has been part of the explanation for why you see that variance. In terms of guidance for currency, I think on currency it was going well up to the end of HI, then Q3, because of the continued in fact strengthening of the euro versus many currency and notably the USD, we turned negative. And so the next question is how and where is the - your heading. It's a be difficult today because you can see just under on the situation of the dollar how difficult it is to get to sense of where this currency is heading depending on what the government may say. And this is also why we did mention that point as being a point of attention. We need to be careful. It has been costing us a little bit of EBIT over Q3. And probably it shouldn't - this is exactly one of the reasons, sorry, for why on the guidance despite the strong messages or strong I would say notes that read on our capabilities to be better than the initial guidance that we have provided of 460 million to 480 million, we want to be a little bit more cautious. As far as Mantra is concerned, I mean the objective of the group is to become a supply, this is why we entered into Booster, this is why we spend the last 18 months of our lives working day and night to structure the transaction. And so we'll deal, we'll [indiscernible] and that's why I said that we do have the skills to know how to turn around those kinds of portfolio and basically kind of receive from those portfolios if you want to say that.. So that's what we're going to look at and we want to do it under the proper good condition.
Jamie Rollo: So can we take that acquisition as a strong signal, you expect that to successfully sell a large stack in AccorInvest or is it fundable under your own balance sheet at the moment.
Jean-Jacques Morin: You see it's because of that exact comment that some of you did that we did publish when we did Mantra communication press release and added that sentence which may be seen as generating some nervousness. Because we did not want to be the one that you just said. I think what we want there is to - it is not that you consider that the deal is done when it is not done.
Operator: Next question from Geoffrey d'Halluin from Deutsche Bank. Sir, please go ahead.
Geoffrey d'Halluin: Hey good afternoon, Geoffrey d'Halluin speaking from Deutsche Bank. Two questions please. First of all on Slide 14, you are talking about EUR9 million of disposals. Just would like to confirm basically the hotelF1 venues and the Pullman Marseille. And secondly regarding the lease portfolio you've gotten in Mantra for the 31 properties. So just would like to understand exactly what your goal in term [indiscernible] restructure the portfolio and maybe how much exactly is the revenue and EBITDA of these 31 properties within Mantra.
Jean-Jacques Morin: I will take the Mantra question. The idea as I said is not to - I think exactly what you said which is to restructure that portfolio. In term of completion of each of the businesses, if you were to take as a rule of thumb, that more than 50%, 70% of the business is coming from management business and the remainder is coming from the lease business, so kind of 60-40, 70-30 kind of faux is good estimate of how the EBITDA split between the two businesses. In term of the other comment that you made on perimeter, you're right, there is in fact F1, that is Marseille, and last year you may recall that we had sold some hotel in Polynesia, some Sofitel in Polynesia so that also gets into the number.
Geoffrey d'Halluin: And maybe a very quick follow-up if I may. Have you seen any big slowdown in terms of trading in Spain since let's say the beginning of October and I'd say political issues which kind of bills in the country please.
Jean-Jacques Morin: It's a good question which is also why we did mention that the point that we were following. The figure in week of the month of October we did see a bit more than 10% negative RevPAR coming from what's happening in Catalonia. Now, we need to put those things in perspective, Spain is less than 2% of the overall business of Accor, so it's already something that we're going to follow closely. The people in the fact may be not - is not that big either.
Operator: Our next question from Vicki Stern from Barclays. Madam, please go ahead.
Vicki Stern: Hi, a few questions. Coming back again on this like for like sales growth versus the RevPAR discrepancy, how did sort of slowed through to EBIT, so if you can just reconcile how that actually flows through both through this year and then how much of that will continue into 2018. Secondly just on London and you commented and related on the call that you think slower London performance and the UK region is still holding up. Can you just elaborate on that for London a bit? So why do you think the slow trends are coming through. Do you think that's related to the terror attacks and if you can just remind us actually how important UK and London are for you? And then just finally on Mantra, this in anyway change your CapEx requirements, are they elevated now because I think obviously there is some ownership of the Central FMB et cetera. What does that mean for CapEx going forward and generally if you could just remind us what CapEx should look like for new Accor. Thanks.
Jean-Jacques Morin: On the UK it's roughly 10% of our business worldwide just to size it. I think you see in case of the UK, in reality only the months of September was negative in London, right. I mean if you look at the two other months which were July and August they were positive RevPAR, I mean namely 5% and 3%, so relatively a really good number. Just up on the September was negative. I don't like the way or we don't like the way we see by city evolving. The numbers that came out of the UK in term of are more definitely going to be impacted at one point in time by the GDP which is not as good as it used to be. And so I think on this one, we want to follow it up closely. We said that for the last 24 months, since 24 four months we always have the question of please don't go up to this far and they are going to at one point in time fall, it is true that in Q3 we ended up, we had an occupancy rate of 87% in London and this is a pretty, pretty, pretty good number. And so this cannot last forever, and so that's really why we make the comment on the UK. In town of Mantra and the capital expenditure, that is a wider question of where is the business model of Accor Hotel heading. And we would like to cover those discussion of CapEx and what are the requirements for CapEx and what is new cash conversion model once we have complete Booster and we are at the stage at which we talk to you about the new business model that would be our Capital Market Day. So I think it's a little bit early. And as I said in all cases the Mantra requirement is a transitory requirement because we are not going to keep that portfolio of lease over time. And as far as the EBIT consequences of the points you mentioned. I mean they are included in the guidance that I provided. They were provided in the H1 guidance, so that's nothing that we didn't know.
Vicki Stern: But any sense to how material it is, just the numbers.
Jean-Jacques Morin: It's a couple of million, it's couple of million. We detail all of that much more once we publish the EBIT at the end of year.
Operator: Next question from David Holmes from Bank of America Merrill Lynch. Sir, please go ahead.
David Holmes: Just wondering the state of Mantra if there any integration cost that you'd want to pull out. And secondly just wondering to what extend the Caribbean business has been impacted by the storms the past few months. And then finally just how you're thinking Germany into the fourth quarter?
Jean-Jacques Morin: Caribbean was diminished, there were no casualties that we had to account. And in fact we've got a limited number of hotels which are franchised hotel; one [indiscernible] and one Pullman in Cuba were damaged, so they are closed today. But this is no major impact to us. So that's on Caribbean. In terms of integration cost, I guess you can use the rule of thumb that integration cost is about 2x the amount of the synergy which is modest what we have done modest what you have on the transaction like Starwood and Marriott and so that's a good way of sizing what it is. So I would use that as a rule of thumb. And I think that was it yeah.
David Holmes: Just asking on Germany specifically are…
Jean-Jacques Morin: So Germany, the comps are going to be unfavorable on Q4 because they were fairs last year. So it's not good year for Germany from a fair calendar perspective, it's a good year on the underlying of the business because the German economy is still the locomotive of Europe. But the comparable are not really helping us. So I think that you remember we had a great Q1 because the BAU fair and then we had negative Q2 because of the bauma fair in Q3 we are saved because of what I explained and I what said regarding the G20 which is a one-off. And so Q4 four will be relatively weak because of the fair phenomenon.
Operator: Next question from Tim Ramskill from Credit Suisse. Sir, please go ahead.
Tim Ramskill: Three questions please. Just to come back, I know it's been asked a couple of times in terms of the difference between the line for line growth and the RevPAR growth. But just to sort of help us out because I'd couple of more messy quarter where there is a few things to explain. I mean is there a reason why fundamentally going forward RevPAR growth plus the rim growth should not equaled the like for like growth so anything else particularly to think about going into next year. Second question just on the new businesses, could you sort of comment on that like for like growth which is slowed quite considerably into the third quarter. How satisfied are you with the performance of Onefinestay maybe just an update there. And then the final question was I know at the half year stage you gave us an update on the financial performance of HotelInvest obviously you fully own that business today. Just want to know is there anything to point out in terms of the performance operating wise of that business in Q3. Thanks.
Jean-Jacques Morin: So the answer to the first question is no, there is no reason for why it would be different from the equation that you said i.e. actually the rest half if the development coming. It's fundamentally the way it should go. In terms of the new businesses, the number is, again I'd like to put thing into perspective because we always spend a lot of time on new businesses. So new businesses total acquisition over the last four year is less than 5% of the market cap of the company today. And more than 90% of what's been spent is on the hotel business. But in all cases I'll answer your question. We had something on Onefinestay i.e. we tried different web strategies of strategy and we [indiscernible] was not successful. So in fact it's just over this quarter the fact that we are a tie at something different that what was done before and since it doesn't work we came back to the previews with strategy. So that's what explain the Onefinestay or the new businesses weak number. The first booking which is the other element into it is clearly double-digit growth in the same period. On HotelInvest I think the revenue is in line with what we anticipated. We have 2.4% over Q3 host like for like of AccorInvest and it is a slightly better than what we had in H1.
Operator: Next question from Monique Pollard from Citi. Madam, please go ahead.
Monique Pollard: Just a couple of questions for me, can you hear me?
Jean-Jacques Morin: Yes, yes we can.
Monique Pollard: So just a quick one on the Mantra deal firstly. Could you just recap I think you said the synergies you were saying AUD18 million. I just wanted to confirm that and also whether you have a sense of the scale or quantity of disposal you met and you've required to do by the regulator to allow that deal to get through. Secondly just trying to understand, so your organic room growth target of 40,000 and then there was [indiscernible] that added another 8,000. So to me it seems that you're going to need to do about 27,000 new rooms in the fourth quarter and I just wanted to check if that's correct. Finally, just in terms of the RevPAR in the third quarter in the Gulf region. Could you give us specifically what that was because obviously we seen a big deterioration in the Middle East and Africa segment.
Jean-Jacques Morin: Let me - disposal that we don't know, it's going to come whatever the regulator we'll have to, we don't think so. This is what we wanted to and we need to on due diligence, but again it is that prerogative to tells us what we've got to do. But on this one because of the complementarity of the businesses and notably the fact that we're not in the same geographic as I was kind of explaining on the Gulf Coast, we definitely don't anticipate that. In term of the competition, we have 27,000 rooms opened to-date which is - open today. And so we need to go for 13,000 in the coming quarter to arrive to the 40,000 organic growth. And so the - obviously research is not part of the 27,000, it was part of the 27,000 it doesn't work. So we feel good about that. And we are very much in line with the same dynamic than what we had last year. So we feel good about that, okay. Then what else did you ask. And then you had the first question, so I don't remember. The synergy, I do confirm the number is AUD18 million.
Monique Pollard: And then just on the RevPAR in the Gulf?
Jean-Jacques Morin: Yeah, RevPAR in the Gulf, what do you want to know sorry?
Monique Pollard: What it was, can you give us a breakdown.
Jean-Jacques Morin: Yes, I don't really have it Andy to be very candid. I mean the Middle East and Africa total was minus 3.4. And then the, because it's Middle East and Africa so if you take out Africa and just look at Middle East and Egypt, then you a number of minus 7. I don't have more gradual numbers with me.
Operator: Next question from Jarrod Castle from UBS. Please go ahead.
Jarrod Castle: Good evening, three as well. Just in terms of the total portfolio, you own 603,000 now roughly and then you've got your new openings. I mean should we thinking about closing portfolio of about 610,000 rooms. So another kind of closer of around 5,000 rooms I guess. Secondly, just in terms of calendar in Q4, you mentioned some impact from the lack of sales in Germany. Anything else that we should be aware of for Q4 findings relating to calendar. And then just coming again back to M&A, I mean is there anything else in the pipeline in terms of what you're looking at and if you could give some color in terms of the size of potential contacts that you're looking at. Thanks.
Jean-Jacques Morin: I'll start with the last one because if still remember it. It terms of M&A what we said over the last month with Sébastien Bazin is that we were not contemplating any mega merger. And we do say today that we don't have anything in the pipe which is a mega merger. In term of us looking at what we can do in terms of acquisition. We definitely as part of our due diligence as a management team do look at all opportunities as we would do whether Booster happens or not. But obviously with Booster happening is another subject. And so we do look at I said all potential usage of cash payment of earnings once we do the disposal of HotelInvest. So I don't know if that answers your question, but yes we are diligently looking at options. In term of sales of Germany, Germany is nothing new. I mean what's happening in Germany you guys know as well as I know because the fair calendar is something which is very much known by everybody and this phenomenon every two years is something that I think we all know. In term of other places where you would have that frankly nothing in term of calendar that I think of. I think of point of attentions are more what I said when I gave an idea on the guidance i.e. making sure that we look at our Middle East and Africa is developing and making sure that we look at our currency are developing making sure that there is a close eye also on how the UK and notably London may evolve. But nothing else that comes to my mind. In terms of 610,000 room at here. I think this is minimum.
Operator: Next question from Jaafar Mestari from JP Morgan. Sir, please go ahead.
Jaafar Mestari: Just wanted to come back to the Mantra synergies, so maybe I'm going to match the right way but if I look at your release to the multiple to move from 12.4 pre-synergy to below 10 post-synergies, you probably need more like AUD25 million or AUD30 million, is there something else on top of the 18 million that we need to take into account.
Jean-Jacques Morin: The answer is yes, your math is correct. You are doing the completion rightly, there is no - there is to take into account pipeline.
Jaafar Mestari: So just to be clear, the multiple that you're giving 12.4 its pre-pipeline and pre-synergies.
Jean-Jacques Morin: Yes, correct.
Operator: We don't have any other question. [Operator Instructions] We don't have any more questions.
Sébastien Bazin: Okay, great. Ladies and gentlemen thank you very much for your attention and your questions and looking forward to meeting you again. Bye, bye.